Operator: Good day everyone, and welcome to the Bel Fuse first quarter results conference call. This call is being recorded. With us today from the company is Bel's President and CEO Mr. Daniel Bernstein and the Vice President of Finance, MR. Colin Dunn. At this time I would like to turn the call over to Mr. Daniel Bernstein. Please go ahead, sir.
Daniel Bernstein: Thank you Francesco and I would like to welcome everybody to our conference quarter review Bel's first quarter 2010 results. Before we start I'd like to have hand over to Colin Dunn, our VP of Finance.
Colin Dunn: Thanks Dan. Good morning everybody. Thanks for attending the call. As normal I will start off with our forward-looking statements. Except for historical information contained in today's news release and in this conference call, as matters discussed including statements regarding the Cinch Connector acquisition, use of profitability, future performance and efficiency of our workers. Our forward-looking statements would involve risks and uncertainties. Among the factors that could cause actual results to differ materials from such statements that are the market concern facing our customers, the continuing volatility of the sectors to rely on our products the effect of business in economic conditions, capacity and supply constraints on difficulties, products development commercializing or technological difficulties, the regulatory and trade environment, risk associated with integrating the Cinch connected business into the Company's existing business, risk associated with foreign currencies, uncertainties associated with legal proceedings, the market's acceptance of the Company's new products and competitive responses to those new products, and the risk factors detailed from time to time in the Company's SEC reports. In light of the risks and uncertainties, there can be no assurance that any forward-looking statements will in fact prove to be correct. We undertake no obligation to update or revise any forward-looking statements. That concludes the forward-looking statements of the Safe Harbor. Now I will turn to our financial results. On January 29 2009, we completed the acquisition of Cinch Connector, which has materially impacted Bel's results of operations during the first quarter of 2010. This morning I'll discuss our results with and without the impact of Cinch Connector to aid and comparisons with prior periods. First of all to sale; for the first quarter of 2010, our sales were $56.1 million, which was up 28% from the $43.9 million recorded in the quarter in the first quarter of 2009. Excluding the $9.9 million of Cinch first quarter sale, Bel's first quarter 2010 net sales increased 5.5% versus the first quarter of 2009. As usual, and we wanted this over the last three years, so this is now become I think a permanent trend. Bel's first quarter sales were down 5% from the proceeding quarter that ended December 31, primarily due to the shutdown of our factories for the Chinese New Year holidays during February. Sales for the first quarter of 2010 in our magnetic, circuit protection and interconnect product groups increased, as compared with the first quarter of 2009. On the sales, we have lower to specifically one significant customer in our modules product group. Cost of sales and net results on an unaudited GAAP basis, Bel entered the first quarter of 2010 with the loss from operations of $66,000 an after tax earnings of $32,00. These results were lower than our income from operations of $3.2 million and net earnings of $800,000 for the first quarter of 2009. To take these results on a comparable basis, no-GAAP income from operations for the first quarter of 2010 was $1.6 million as compared to non-GAAP cash from operations of $1.8 million for the first quarter of 2009. Appropriately half of the first quarter 2009 non-GAAP income from operations was contributed by exchange. Severance, inventory-related purchase accounting adjustments and professional fees associated with Cinch acquisition as an excluded from non-GAAP income from operations for the first quarter of 2010. While severance restructuring charge related the closure of our Westborough Massachusetts facility, and a gain on several estate has been excluded from the comparable 2009 non-GAAP cost from operations spending. A reconciliation of GAAP to non-GAAP measures is included in our press release of our earnings today. Turning to selling, general and administrative expenses; the percentage relationship with selling, general and administrative expenses to net sales decreased from 74% during the three months ended March 31 2009 to 16.3% during the three months ended March 31 2010. The dollar amount of selling, general and administrative expenses for the three months ended March 31 2010 increased by $1.5 million, compared to the same period of last year. Our comparable non-GAAP basis, which excluded Cinch SG&A expenses, severance and acquisition-related cost, well this G&A expenses is a percentage of sales decreased from 16.9% to 16.1%. This increase resulted primarily from that continued focus on cost containment, liquid trailer cost and well general and administrative salaries and fringe benefits as a result of staff reductions completed in various locations during 2009. Turning to the balance sheet. Cash and equivalent at the end of March 2010, our cash and cash equivalents, short-term investments and securities were $79.9 million, which was $44.3 million lower than at December 2009 with the balance with$124.2 million. The decrease in cash resulted primarily from the payment of approximately $40 million for the Cinch acquisition and working capital changes during the first quarter of 2010 mainly on an increase in inventory. The Cinch acquisition was funded entirely cash on hand. Receivable and payables; receivable net of allowances was $41.2 million as March 2010 compared to $34.8 million at December 31 2009, an increase of $6.4 million. Excluding the impact of the Cinch acquisition, receivables decreased by $100,000 during the first quarter of 2010. (inaudible) were $19.2 million, an increase of $2 million from December 31 2009. Excluding the impact of the Cinch acquisition, accounts payable decreased by $300,000 during the first quarter of 2010. Turning to inventories; at the end of the first quarter of 2010, our inventories were $43.6 compared to $31.8 million at December 31 2009, an increase of $11.8 million. Excluding the impact of the Cinch acquisition, inventories increased by $4.5 million during the first quarter of 2010. Now couple of other balance sheets comments before I finish; for the three quarters ended March 31 2010, capital spending was approximately $600,000 on depreciation, amortization with $1.9 million. Per share book value at March 31 2010 is approximately $17.88 including goodwill and tangibles. As we exclude the intention of goodwill after share value was $15.92, that's the end of my comments now I'll hand the call back to Dan Bernstein.
Daniel Bernstein: Hi Francesco, can we open up the call for any questions.
Operator: (Operator Instructions). And our first question comes from Steve Brody [ph] from Stephens, Inc. Your line is open.
Steve Brody – Stephens, Inc.: Hi guys. Good morning and congratulations on closing the Cinch deal. I wonder maybe you can start by if you would maybe just walk us through what you are seeing on the demand side in each year sort of major product groups that would be probably helpful with the sort of?
Daniel Bernstein: Well, again we see short demand across all of our products and arising we hear from our suppliers there is strong demand. We had seen sales declines like the IT people going on allocation, so if you look – the only products I will say they are all pretty much very strong demand. The biggest problem we are facing is on magnetic products where we make the integrated connector magnetics for MagJack, that is a labor intensive product and it's very difficult to hire and train people and that's where we have the longest leap times that were probably 30 weeks, we are trying to work down on that. But everything we see is very strong. All our customers have assured us they know some ordering, and they see everything strong for the balance of the year, and I think based on the strong but then we tend to be a little more pessimistic.
Steve Brody – Stephens, Inc.: and did you guys build backlog from December going into the March quarter?
Daniel Bernstein: Yes. we just recently in the last week build a book to bill sorry to decrease a little bit, but historically our billings were greater, our bookings were just a little bit greater than billings. I'm sorry.
Steve Brody – Stephens, Inc.: Right. Okay.
Daniel Bernstein: And it's only in the recently in the last three weeks that our backlog has started to come down a little bit.
Steve Brody – Stephens, Inc.: Okay, and is that because you had – you got – you brought this to work us on board in China now. Are you starting to see the fruits of that, and is the effect that to sort of worked out backlog in lead times?
Daniel Bernstein: Here we are seeing the level of efficiencies, better efficiencies in our operations. However, from the margin standpoint we are all concerned because starting in May, and the new launch in China regarding labor is going to backed us, so that's what they are also mentioned.
Steve Brody – Stephens, Inc.: How do you want to call it also?
Daniel Bernstein: Yes. we are the approximately a 20% increase in labor, which is mandated by the federal by Beijing which will kick in the first of May. For the minimum wage goes up approximately 21% where we re and it goes when you roll that through would be overtime rates, that is a huge increase to our cost in China. We will have no choice, but to roll those increases to our customers, and we were in the process of over the next few weeks to notifying customers of that information.
Steve Brody – Stephens, Inc.: So the affect to margin that should be mitigated by the price increase.
Colin Dunn: It will take a little while to get in place. We will give them a little bit breathing space. Unlike some of that suppliers we have had situations where some of our suppliers have come to us maybe supplies that come to us instead giving us about two weeks notice and saying effect of May 1st, your prices are going up X% and if you don’t accept it we will cancel all your orders. It’s not negotiable. We are not going to be quite that callous but we will be fairly firm. I would say it will take us 60 days probably to get most of them in place.
Steve Brody – Stephens, Inc.: I see and what are you guys see out in the sort of competitive front these days in terms of – is everybody constrained still in terms of your competitors or are you starting to see maybe some initial capacity online where some other folks are trying to make trying take some –
Colin Dunn: We would think that we saw more competitors come online that our backlogs were dropped. But we haven’t seen that, so that’s a – our bigger concern is more of a sort of double order process.
Steve Brody – Stephens, Inc.: Right.
Daniel Bernstein: And they are going to cancel right before shipments, and I think that’s a greater concern and again every customer we meet unequivocally say that they will have the double orders on the books. So, that’s what very exciting that, we would hope but there should be a leveling effect anyway. If our backlog goes from 30 week then to 28 and hypothetically our competitors should go from 25 to 28. So, at some point I know you would think it at all levels now. So, that’s why we think we don’t see that many enroll of our customers yet, competitors yet.
Steve Brody – Stephens, Inc.: Got you. One last one from me I guess for Colin, what you see in sort of the normalized run rate for SG&A here going forward now that we sold it (inaudible) into the mix here.
Colin Dunn: One thing you got to remember this Cinch we only had it for two months out of the quarter. So, we will have a little bit relevant income and on the 50% of their overheads is going. On a standardized rate we did have if we look at the non-GAAP numbers because the GAAP numbers we did have some severance cost that some of those well through in G&A at Cinch. I think we are pretty skinny on G&A from across the point of view. Far of it variable and so that will fluctuate in the biggest variability’s we have but should we should be concerned the abilities we have sales commissions which obviously fluctuate directly with our sales volumes and they tend to be roughly 5% on most of that sales. The other major variable item we tend to have legal expenses related to these legal losses was just a little bit hanging around until we are having trouble getting rid of. We have taken a lot of steps to mitigate our legal expenses on a monthly basis and we have bought a new folks to manage that but other than the legal expenses and the variable commission. We shouldn't have that much else, I think we are pretty much the (inaudible) on G&A now.
Steve Brody – Stephens, Inc.: Okay and what would say you’re – what was the pro forma number for selling an admin expense in the March quarter?
Colin Dunn: We had the total and if we go to the normalized are you thinking at any abnormal items.
Steve Brody – Stephens, Inc.: Right.
Colin Dunn: The G&A for the third quarter was $8.8 million.
Steve Brody – Stephens, Inc.: Okay that helps, we just want to make sure we are calibrating right by model.
Colin Dunn: Yes and let me just check one another number if I took out Cinch we would have been in 17.43.
Steve Brody – Stephens, Inc.: Okay. Good deal I will stop taking up so much time and pass along.
Daniel Bernstein: All right. Thanks.
Operator:
 :
Conor Irvine – Needham & Company: Hey guys Conor Irvine [ph] filling in for Sean. I had a few questions here, so bear with me. Could you comment specifically on your lead times for MagJack, and how long do you expect them to be staying at these stretched levels?
Daniel Bernstein: In terms of lead times it was probably about something 30 to 32 weeks and I did point we are probably projected to get down to maybe 22 weeks September 1st. That's pretty aggressive. However, a lot depends on the bookings that go forward. That was our goal initially after Chinese New Year to get down to about 18 to 12 weeks by June 1st but the way the situation has become more difficult and we have seen a lot more orders than we projected.
Conor Irvine – Needham & Company: And where do you guys stand in terms of hiring new workers? You spoke about passing some prices forward to your own clients. Comment on that first and then I'll follow up with a question.
Daniel Bernstein: Yeah we hired and approximately 14, we had a very good return rate then along we had a very good return rate from past the Chinese’s New Year much better than we have had, not much better it was good and a little better than we have had in previous years. It was getting very close to 90% which is I think in the industry as remarkable. Since then we have had you give them back and some of them worry. Our net hiring’s since Chinese New Year which was in February is about 1400. We continue to hire but like I think last week we had a net loss in heads. A lot of that just depends on who else is hiring in the area at the same time. We are hopeful that with this higher wage increase to going to place but maybe that will help bring in some more people but we are not certain on that. We have as you know we did the take our own factory and a buy a new factory down near the Vietnamese Border and orders of last year. We continue to add people there, we have a couple of folks that do some component lining for us for us and supply us sub assemblies and they have been having a number of people but its still day to day and I am trying to highlight the number of people that are just not around and we are trying everything we can but we do have an aggressive program. We have a lot of bonuses in place, we have bonuses for people who bring in their friends, we have bonuses when people will rise. We have bonuses when they stay 60 days, 90 days and so on. So, we are trying everything we can but we and the rest of the industry are still struggling.
Conor Irvine – Needham & Company: Do you think you could ballpark if any – if you've forgone any revenues due to labor constraints?
Colin Dunn: Well yeah we could probably add another, I think with our current facilities if we had the labor maybe another 25% but Dan and I have agreed would be 25% higher.
Conor Irvine – Needham & Company: Great. Also, could you provide an update with your relationship with EMEA [ph] to the degree you were shipping versus where you expect to be full volume and it is fully ramped in about three months?
Colin Dunn: We were producing everything, they are selling at the moment and there are no holdups there. We never -we are a very strong program with them. I know they are looking for additional customers. So, but now our relationship was very strong and it’s about huge volumes but certainly meaningful volume to last and I think a meaningful volume for them also.
Conor Irvine – Needham & Company: Lastly, any 10% customers in the quarter, and what segments were they in if there were any?
Daniel Bernstein: We always have some customers that fall into that category but typical they are the contract manufacturers who are the ship trough's and they really up, but probably now they are producing for several principles and so you name two to three which I am not going to name but they would be purely the contract manufacturers.
Conor Irvine – Needham & Company: Give an opportunity to introduce any new 10% customers in the June quarter?
Daniel Bernstein: No.
Conor Irvine – Needham & Company: Great guys, I appreciate your help.
Daniel Bernstein: Okay thanks Connor.
Operator: Thank you. (Operator Instructions). Our next question comes from Mike Merry [ph] with Merry Asset Management [ph]. Your line is open.
Mike Merry – Merry Asset Management: Hi, I had a couple questions. What should Cinch do in a normal year in terms of operating or pre-tax profit?
Colin Dunn: We are still working our way through that, they we would think they are going to be in the $3 million to $4 million range.
Mike Merry – Merry Asset Management: In terms of net or in terms of operating?
Colin Dunn: In terms of operating.
Mike Merry – Merry Asset Management: Okay, so you paid about 10 times operating profit for Cinch?
Colin Dunn: Yes.
Mike Merry – Merry Asset Management: Okay. And if I put back in this 25% revenue, which I understand we don't have the labor to perform right now, but if I put it back in that gets you pretty close to pre-recession demand levels, is that accurate?
Colin Dunn: Yes.
Mike Merry – Merry Asset Management: Okay. And then, I am not sure I understood in terms of where we were on the labor situation, it sounded like we had 1400 new hires but then you lost some?
Colin Dunn: We lost couple of hundreds in previous week.
Daniel Bernstein: I think what you are saying is that very fluid situation that probably to hire this many people in China. Our goal is to get down in 12 week link on when you probably are another 3000 workers through our different operation and that was simply a briefed up task.
Mike Merry – Merry Asset Management: Okay. So, tough task meaning we interpret about what a quarter or two to hire 14–?
Colin Dunn: Generally, there are lot easier in hiring people at the Chinese New Year because they return. What people begin setting their job; it's difficult to recruit people. So and easiest time for our people is right at the Chinese New Year. As further you get away from Chinese New Year the more difficult it becomes and then we hit the September and October timeframe and there was some positive (inaudible) mostly from the North of the factories.
Mike Merry – Merry Asset Management: Okay, so it doesn't sound like we're likely to get these other 3,000 employees anytime soon?
Colin Dunn: That’s about the good guess, a better guess. That's pretty much a fact.
Mike Merry – Merry Asset Management: Okay. Is there anything else you can do about that, or have you discussed any other options?
Daniel Bernstein: No again we have looked at and all of you know that’s what we said considerably outside of Southern China well the leverage is more stable and we are opening up a – we started with 500 people we are up to about 1200 people. We are opening up the new operation within a two mile radius of that facility where we can additional 500,000 people. So, we are still very aggressive. The people that wind some of the components for us where the profits kind of changing our pay structure for them, so we have taken steps, we will be taking steps to travel over the lead time.
Mike Merry – Merry Asset Management: Okay, thanks very much.
Daniel Bernstein: Okay. Thanks Mike.
Operator:
 :
 :
Daniel Bernstein: I appreciate everybody calling us and hopefully we will have better results next quarter and thank you for taking your time to speak with us today.